Rene Hoffmann: Welcome to our H1 2021 earnings call. Your host today are once again, CEO, Rolf Buch; and CFO, Helene von Roeder. We are in different locations today, so bear with us in case we have slight delay here and there. I assume you have all had a chance to download the presentation in case you have not please go to our website where you will find it under latest publication. Rolf and Helene will lead you through the first part of the slide deck. So Pages 4 to 20 and of course, we'll be happy to answer your any questions afterwards. So let me now hand you over to Rolf.
Rolf Buch: Thank you, Rene. So also a warm welcome from my side. I hope nobody will be surprised that we have continued a good start into 2021. Our operating business and market fundamentals are fully intact. And we are following our path and managing the residential mega trends towards sustainability and adequate shareholder reconciliation. COVID-19 is still a reality, which affects us in our day-to-day operational business. But by now I think it is well understood that there is hardly any impact on our financials. Our top line segment total -- segment revenue was up by 10% adjusted EBITDA grew by 8.4% and FFO by 13.1 or 6.6 on a per share basis. We have seen a high positive valuation momentum in H2 with evaluation calls of €4.2 billion, which is always in the indicated range we have given you before. As of June 30, our EPRA NTA was 68.44 per share, and our EPRA NRV was 82.45 per share. The LTV at the end of H1 was 42%, if we look at the perpetual hybrid asset and the net debt to EBITDA multiple was at 12.3. This probably also in our last issuance in June, which were five bonds the total volume of 4 billion the average tenure of 9.5 years an average coupon of only 6.75%. And finally, before I hand over to Helene, results on our guidance. The strong performance across all segments leads to an increase in our guidance for 2021. The guidance range of adjusted EBITDA total increases by €80 million to €2,055 million to €2,105 million in the range of our FFO highest by €50 million. Import CO2 savings, continued positive development our customer satisfaction in these and increased gender diversity has been the main drivers for the SPI, which we are now guiding to [104%] of the relevant KPI. Our good performance on sustainability was also recognized against [best] analytics, where we managed to improve from 7.7 to now 6.7, which means we are ranked number 18 out of the global universe of more than 13,000 companies of all industries. And with this I hand over to Helene.
Helene von Roeder: Hi, good morning for my side. On Page 5, we saw earnings growth across all segments, with the minor exception of development, where the project nature of this business means it is by definition a bit less linear than the other three segments. Nonetheless, we do see ourselves fully on track to deliver performance growth, not just in the overall top line, but also for all four segment EBITDAs, also hence including development. We see exception of minor changes at the margins, we had a stable portfolio of around 415,000 apartments so similar to last year. On that basis, rental EBITDA was up 5.4%, recorded by a strong year-on-year growth and value add and recurrent sales, we delivered an overall EBITDA growth of 8.4%. Accounting for lower interest expenses and higher taxes the FFO growth was 13.1% or up 6.6% on a per share basis. The interest expenses were of course, lower from our refinancings. At the same time, current income taxes were higher, largely as a result of increased disposals. So with that, on to Page 6. For a change. This is a pretty clean half year to half year comparison. And you also do not have distortions from the season effect with one rent more in one period than the other, like we did all throughout last year. On that basis, our similar portfolio volume delivered 3.3% rental revenue growth and 5.4% EBITDA growth. Maintenance expenses were slightly higher than last year and operating expenses continue trending down because of operational improvements, but also because of fewer COVID related precautionary measures compared to last year. While the adjusted EBITDA operations margin of 80.4% is probably a bit elevated, the trajectory of increasing that margin even on a stable portfolio is clearly intact. On Page 7, we show the main operating KPIs for the rental segment. Organic rent growth was 3.4% year-on-year of which 0.9% came from the market 2% from modernization and 0.5% from new construction. Our vacancy rate was 2.7%. So very much in line with our expectations. Clearly, it is mostly impacted by modernization work not by demand. The list of people interested in an apartment is getting actually longer, not shorter. Maintenance expenses were a bit higher than last year, as you continue to [indiscernible] on the side of caution and keep our assets in very good condition. And finally, our rent receivables in Germany, were at an all time low at the end of the reporting period. We had seen a temporary increase during the corona pandemic, but this has been overcompensated by now. And we are actually below pre-COVID levels.  So back to Rolf.
Rolf Buch: So let's go on Page 8 on the value-add segment. There's not a lot of to report there, we have continued our good start here as well both external and internal revenue is up compared to previous year and help to achieve a 17% EBITDA increase. That's expected to be getting better step-by-step keeping rolling out what works and try to come up with new ideas. On the next page, Page 9, we are talking about our current sales. We have completed sale of 1,865 apartments and our recurring sales segment in the first half. This is relative high volume can be explained by true effect. First of all, a bit of spillover from the strong demand already in Q4 last year, that have got pushed into 2021. And some small -- some harder to sell units, which we managed to sell as a block. In spite of the elevated volumes, and in spite of the block sale, average fair value step-up were almost fully in line as well above our initial target of approximately 7%. So this gives you later a very good sense also which Rene will talk about evaluation. And with this back to you Helene.
Helene von Roeder: So let's look at the development segment on Page 10. This segment includes all new constructions of apartments by way of entirely new buildings. But it does exclude additions of floors on existing buildings. In H1 2021, you see how the segment is actually a bit less linear overall compared to the other segments, especially rental and value-add. Development to sell was quite a bit higher than last year. development to hold was lower, and combined with more normalized operating expenses. The overall EBITDA does fall short of H1 2020. This level of volatility can probably be expected. But if I do look at the remainder of the year, but we also expect the sale of a larger project in H2. I am very optimistic that we will deliver more EBITDA in the development segment than last year. If we go to Page 11, then we can see that including the floor additions, we completed 841 apartments over which overall of which 389 were to hold and 452 to sell. Again, this business is not exactly linear. And we continue to aim to complete around 1,500 apartments to hold and another approximately 800 apartments to sell. For the overall pipeline, we are looking at the long-term potential of 38,000 apartments for our own portfolio and another 9,000 that we will be selling to third-parties Page 12 does show the H1 valuation results. As in prior years we took a pragmatic approach to the H1 valuation, and did not value the entire portfolio, but only about three quarter. This includes the 30 largest and most dynamic cities in Germany, plus Vienna plus Sweden, the rest of the portfolio was not revalued, and only adjusted 409 million capitalized investments. On this basis values are up by a total of €4.2 billion. And the table on the bottom right of this page, we show the like-for-like valuation result of the revalued portfolio with 9.2% for H1 2021. And on the right hand side, the comparable for H1 last year, where we had 5.6%. So clearly a stronger dynamic compared to last year. The new valuation puts the overall portfolio at 25.6 times in place rent multiple and €2,215 fair value per square meter. So Page 13 shows a bit more detail across our 15 regional markets in Germany plus Sweden and Austria. As I said, we did evaluation of our 30 largest and most dynamic cities in Germany, but not for the rest. How much of a regional market was revalued is indicated by the pie chart. So for some regional markets like Dresden, Berlin, Kiel Bremen or the Southern Ruhr area. Almost the entire asset base was revalued for others, such as Stuttgart or the North Ruhr area, only a small part is revalued. The table gives you the breakdown of the total value uplift per -- between performance and yield compression on the one hand and investment on the other. The map on the right hand side shows the total value growth including investments. So one word of the valuation in Berlin on Page 14. As you can see in the chart, Deutsche Wohnen fair value in Berlin was somewhat lagging compare to Vonovia’s value as of June last year. With the H2 valuation Deutsche Wohnen saw a large uplift of 10% that resulted in a fair value level that Vonovia reaches only now, on the basis of this H1 2021 valuation. This suggests that there's little room for Deutsche Wohnen for a material valuation uplift at the half year mark, which we understand is the very reason why Deutsche Wohnen plans not to do a half year valuation this half year. So let's go to Page 15 for our investment program. We are very much on track for our guidance between 1.3 and 1.6 billion for 2021. And most important, continue on that level that is sufficient in light of our CO2 reduction goals. By now, almost all of the work to be completed this year has at least been kicked off. So we have a pretty good visibility in spite of some weather and COVID related delays that we had seen at the beginning of the year. So let's move on to Page 16 for the NTA and the NRV. The strong variation uplift in H1 helped increase the EPRA NTA to €68.44 per share, or 9.1% compared to a year-end. The EPRA NRV rose to €82.45 per share. Please note that for the NRV we are using the same value for the intangibles that we have showed for Q4 2020. As this is only updated once a year. As a reminder, the NTA does include deferred taxes and purchases cost for a whole portfolio, but not for ourselves portfolio. The ratio hold sell for NTA purposes is 88% to 12%. We know that some of you adjust our NTA for purchases cost. And if you were to do that, that leads to an EPRA NTA of €62.09 per share. On Page 17, we have the LTV and the net debt to EBITDA multiple. Based on our standard definition the LTV is 40.5% at the end of H1 2021. However, in light of the call date for the perpetual hybrid at the end of this year, it makes probably sense to look at the LTV including the hybrid and that is 42% because we are now in the position to repay it with straight debt. Either way, the LTV is well within our target range which continues to be between 40% and 45%. The main change is the increased liabilities from a June bond issuance and the revaluation effect plus obviously the Deutsche Wohnen stake at the fair value. The net debt to EBITDA multiple was 12.3 times, so hence similar to year end 2020. There have been some discussions in the past. So let me reiterate our definition of the net debt to EBITDA multiple. In order to mitigate distortions by comparing an accumulated number like EBITDA with a spot number like net debt, we are using the average net debt of the preceding five quarters in relation to the EBITDA of the last 12 months. Please do note that our EBITDA number is reduced by the IFRS 16 effect, and does not include any positive impacts from a non-core sales. So Page 18 has all the relevant financial KPIs. You have heard me say on many occasions before that, I do think that LTV alone is not a very meaningful indicator for the resilience of a company's balance sheet. And, very surprisingly, I still haven't changed my mind. I like to look at it at least together with the fixed or hedge debt ratio, and the maturity profile. And we clearly continue to be in very good shape here. You have seen it, I'm sure, but in the context of interest rate discussions or concerns, it is still interesting to note a bond issuance in June. We issued five bonds with maturities between 3.25 and 20 years, with an average maturity of 9.5 years, and the average coupon was 0.6875%. To be honest, if I look at these terms, I am not really worried as it looks like refinancing will remain an opportunity. On Page 19, we show the guidance for the current year, we see a strong performance across all segments, which leads to an increase of our guidance for several KPIs. Compared to our previous guidance, we have increased the range of the adjusted EBITDA total by [€80] million. The guidance range of the group FFO has also been adjusted upwards by €50 million. So why is that? In our recurrent sales segment, we see an increased sales volume of approximately 2,800 units and high price levels with an expected fair value step up above the 35%. In the development segment, we expect the sale of a larger project in H2. However, higher sales volumes come with higher tax payments. And together with some consolidation effects. This is why the increase in adjusted EBITDA totals cannot be fully passed on to the group's FFO. We also expect a strong development of our sustainability performance index, the SPI mainly driven by CO2 reduction, to customer satisfaction index and gender diversity. And with that back to Rolf.
Rolf Buch: And for me, it's -- just this one slide left, which is the summary of today's call. So, one -- So first, is a highly resilient on our operating performance continues. The market fundamental long-term outlook remain favorable. This makes our stock perfect for investors who like the bowing nature of our business and the predictability of our business. I know Deutsche Wohnen transaction has taken up a lot of airtime over the last weeks. However, you can clearly see in our numbers, that it has not impacted our performance. Two, we remain confident that the content -- we continue to deliver earnings and value goals for this year and beyond. And three, ESG focus and stakeholders reconciliation are more crucial these days than ever. As we have said before, most of our actions have more than just an economic dimension. So expect us to continue and try to strike the right balance going forward. To us, that is not a conflict. We have built a business that can deliver the kind of returns that you expect from us and still make sure that we do not -- that we do it in a way that three other stakeholders fairly as well. In the end, finding a relevant solution to ESG challenges will be evolving in multiple ways, financially, for our future, and also beyond. And with this, thank you very much. And back Rene.
Rene Hoffmann: Thanks Rolf. And I'm going to give it right back to [indiscernible] for the Q&A, please.
Operator: Thank you. Ladies and gentlemen, we will now begin our question and answer session. [Operator Instructions]. One moment please for the first question. And the first question received is from Marc Mozzi of Bank of America. Your line is now open sir. Please go ahead.
Marc Mozzi: Thank you very much. Very good afternoon to all. I have three questions on my side. The number one is, did you booked any Deutsche -- acquisition of Deutsche Wohnen shares in your balance sheet at the 31st -- at the 30th of June? Try to go one-by -one or you would like me to ask the three questions.
Rene Hoffmann: Yes, number one-by-one is better. Helene, can you do it?
Helene von Roeder: Yes, of course. You can see it in the financial assets on our account.
Marc Mozzi: Can you give us an absolute number? Is it €1 billion €2 billion? Just trying to figure out how big it was at the -- at June just to understand how the leverage has moved accordingly.
Helene von Roeder: If you give me a few minutes, I'll deliver that question quickly.
Marc Mozzi: Okay.
Helene von Roeder: [indiscernible] €3.3 billion.
Marc Mozzi: €3.3 billion. Okay. So that's your 18 percentage, you disclose at the time of [indiscernible] ? if I understand correctly?
Helene von Roeder: Yes.
Marc Mozzi: My second question is about your, your full year -- FFO full year guidance. Does it include the benefit of refinancing your current or perpetual bond or hybrid bonds?
Helene von Roeder: Yes, that is included in the FFO guidance. So we are assuming that we're replacing that with senior debt. And obviously, you've seen the spread level. So the Rolf Buch, as we repay the hybrid, we will have a lower interest rate but what we need to keep in mind is that it's actually only for like two to three months. So the effect is the minimum.
Marc Mozzi: Okay, that's excellent. Thank you very much. Very precise. And do you have any sense of how much you're going to have to spend to help your tenants which have been suffering from the slowed in Germany recently?
Rolf Buch: No, actually, the amount of money which you can really -- you will not recognize on our balance sheet is actually 3,000 apartments which why are considered but mainly because they have water in the cellar, so it was no massive damage. So no destroyed buildings. But still 3,000 cellars was water is not nice for those people, we were able to manage all our electricians to get in this zone. So we were relatively quick by getting electricity back because fireman shut down the electricity and then we have to get up to electricity as is normally takes time. We will a little bit faster because we put people from Frankfort and surrounding regions to help there. But in the balance sheet, you don't find any impact.
Marc Mozzi: Okay, thank you very much. Thank you. That’s it from me.
Operator: The next question received is from Kai Klose of Berenberg. Your line is now open sir. So please go ahead.
Kai Klose: Yes. Hello. Good afternoon. I've got two quick questions if I may. The first one is on Page 10 of contagion regarding the operating expenses in the development segment. You mentioned that in H1 this year, this was like at a normalized level. Maybe you could give a bit more details. What this means and why it was lower in the first half last year. And second question related to that on Page 11. You intend to complete around 1,500 units after 400 units in the develop to hold segment being completed in H1, could indicate what is the current pipeline of units under construction. But that's a feeling if this target can be reached?
Helene von Roeder: Yes. Okay, so the normalized operating expenses, are mainly because we sort of ramped up our development business a bit, these purchased being raised. And ultimately we sort of ran through the numbers to sort of include all of the expenses associated with the purchases. And also we were able to -- in H1 2020, we had booked some reserves, which we were allowed to release in H1, which shows sort of like the combination between the two, yes. And then, I'm not sure I've got the full pipeline. But normally, when we guide, it means that like, sort of like the rest of the pipeline actually comes across, I don't have the exact number in -- on top of my head.
Kai Klose: Thank you.
Operator: The next question received is from Thomas Neuhold of Kepler Cheuvreux. Your line is now open sir. Please go ahead.
Thomas Neuhold: Good afternoon. Thank you very much for the presentation. I have three questions, and I think it's best to pick them one-by-one. The first is on the investor market environment, you booked decent relation gains in H1, you increase the fair value step up from 30% to 35%. Does this mean that there is a market evolve stronger than you were expecting six to nine months ago and can you provide us some color what you see in investor market?
Rolf Buch: I think this is already the normal volatility of the market should not over interpret the data.
Thomas Neuhold: Okay. Good. And the next two questions regarding the next Deutsche Wohnen, first, we have read that some investors think that -- of Deutsche Wohnen is too low. If the new offer would also be rejected. Do you see theoretical edition headroom to increase the offer again, or is the increased price already fully maxed out in your view?
Rolf Buch: So to be very clear, in the business combination agreement, we agreed with Deutsche Wohnen that this last offer which is now agreed by -- or that can do it will be the last offer which we will do. And second. Of course, there's a stand still agreed in the [indiscernible] on the purchase of shares that we are not coming into a mandatory offer. So this offer will be the last offer Deutsche Wohnen shareholders will receive from Vonovia for the next year, at least.
Thomas Neuhold: Okay, and the next question is related to the termination agreement. Is it think of that if the text changes that you might install it in [termination] agreement before the end of the three year grace period you implemented or will implement with the next offer?
Rolf Buch: I'm sorry, I'm hearing so much bullshit about the [indiscernible] agreements, the [indiscernible] agreements and this has been discussed even five years ago is not needed to capture synergies. So to speculate it's really foolish speculation [indiscernible] business models allows to realize the synergies we are service contracts we have often explained it. In fact, most [indiscernible] state companies and it specialists will not conclude such a [DPTLTA] as negative tax implications may arise. This is also as a reason why it is highly unlikely they will do the we are would enter into [DPTLTA], even after the CS, which we have made a binding commitment, and of course we'll know we are standing to its binding commitment.
Thomas Neuhold: Okay. Helpful, thank you.
Operator: Ladies and gentlemen, before we take the next question just a reminder, [Operator Instructions] And the next question is from Jonathan Chauwa of Goldman Sachs. Your line is now open sir. Please go ahead.
Jonathan Chauwa: Good afternoon. Thank you for taking my question. Two question if I may. The first one is follow up from Thomas's one. If you can help us understand how the investment market is further developing, and if you expect further revaluation gains at H2, I think you've said so in the report without necessarily quantifying that. So just wanted to have your thoughts there? And second question to come back to the [BEG] low and just wanted to check if you have further progress in your analysis that the impact on your investment capacity and the return that you can generate on modernization? Thank you.
Rolf Buch: So I think the second, no, we don't have, we will come up as promised in our probably year-end, and when we will get a guidance for the ‘22. And this will hopefully also be a combined guidance for Deutsche Wohnen and Vonovia in this respect as well. And as a first one positive valuation, I think we have done the H1 valuation, there is a momentum, which is surprisingly but it is too early to talk about the H2. Give us a little bit time and we will come back to this also again in the year-end where we have more clarity. Thank you.
Jonathan Chauwa: Okay. Thank you.
Operator: Ladies and gentlemen, as we received no further questions, I hand back to the speakers.
Rene Hoffmann: Okay. Thank you very much [indiscernible] and thank you everybody on the call for dialing in. This concludes today's call. Our Q3 results, as Rolf said will be out in November until then. I'm sure there's a few events we'll be talking about. If you have any questions, as always let me know, let the team knows and we're happy to connect. That's it from us for today. Have a good day everyone. Bye-bye.